Operator: Ladies and gentlemen, thank you for joining us today. My name is Nora and I will be your conference operator for this session. Welcome to Grab’s First Quarter 2025 Earnings Results Call. After the speakers’ remarks, there will be a question-and-answer session. I will now turn it over to Douglas Eu to start the call.
Douglas Eu: Good day, everyone, and welcome to Grab’s first quarter 2025 earnings call. I'm Douglas Eu, Director, Investor Relations and Strategic Finance at Grab, and joining me today are Anthony Tan, Chief Executive Officer; Alex Hungate, President and Chief Operating Officer; and Peter Oey, Chief Financial Officer. During this call, we will be making forward-looking statements about future events, including our future business and financial performance. These statements are based on our current beliefs and expectations. Actual results could differ materially due to a number of risks and uncertainties as described on this earnings call in the earnings release and our Form 20-F and other filings with the SEC. We do not undertake any duty to update any forward-looking statements. We will also be discussing non-IFRS financial measures on this call. These measures supplement, but do not replace IFRS financial measures. Please refer to the earnings materials for a reconciliation of non-IFRS to IFRS financial measures. For more information, please refer to our earnings press release, remarks, and supplemental presentation available on our IR website. With that, I will turn the call over to Anthony to deliver his opening remarks before we open it up for questions.
Anthony Tan: Our first quarter results were strong, as we achieved profitable growth despite the seasonal impacts to demand from the Lunar New Year and Ramadan fasting period. We grew on-demand GMV by 17% year-on-year and achieved yet another record number of monthly transacting users on our platform, translating to another quarter of record revenues. As we drove strong top-line growth, we harnessed the scale of our ecosystem to drive greater network efficiencies and maintain a disciplined stance on costs. As such, we achieved our 13th consecutive quarter of group adjusted EBITDA improvement, with our trailing 12 months adjusted free cash flow expanding to $157 million. While we are cognizant that there are increased levels of uncertainty in the global macroeconomic landscape, we remain committed to the mission of our company, and believe that it is more important than ever to drive further improvements in the reliability and affordability of our services. This will increasingly position us as a countercyclical company, enabling us to stay resilient and continue driving new user growth and improvements to usage frequency and retention regardless of the macroeconomic landscape. Looking ahead, we reiterate our expectations to maintain our on-demand GMV and revenue growth momentum compared to 2024 growth rates, while maintaining a highly disciplined stance on costs. Given the strong performance of the first quarter, we are raising our adjusted EBITDA outlook for the full year 2025 to $460 million to $480 million from $440 million to $470 million previously.
Operator: [Operator Instructions]. Let me just go ahead and call on once again for Ms. Pang of Goldman Sachs.
Pang Vitt: Congratulations for the great set of results. And two questions for me. Number one, just on the macro, have you seen any changes in consumer behavior amidst weakening macros, especially in Indonesia? How resilient do you think is Grab in this environment and how do you plan to position Grab to be more counter cyclical? That's question number one. Question number two, you have announced several new products at your GrabX day last month. Could you share how you expect these products to drive your operational performance? As this new product roll out, should we foresee some margin weakness as you to launch other products as well?
Alex Hungate: The first one on consumer behavior, we haven't seen yet any signs of consumer weakness. Of course, we’re monitoring very closely. This last quarter, we had delivery MTUs continuing to grow sequentially, particularly with a strong performance from GrabMart demand in March. April trading update for you, we're trending healthily in line, I would say, with our expectations. So we do expect a rebound in quarter-on-quarter of growth rates across mobility and deliveries for quarter two. At the same time, of course, because of the new flow, we continue to work closely with government partners to support local economies, particularly making sure our marketplace is healthy, so that we continue to generate the earning opportunities for our partners on that platform going forward. I would just make an observation that, in the past, where there has been a turndown in economic conditions, the platform kind of works on a self-adjusting basis in the following way. A number of new drivers will join the platform as a cushion against potential job losses, et cetera. And therefore, we tend to get an improvement in supply conditions, which in turn will reduce surge at key moments, therefore encourage more consumption, more use of the platform by consumers. So you can see it's kind of a self-correcting, almost counter-cyclical approach that we see from the platform during those types of downturns. But so far, no signs of downturns. So we'll keep monitoring that. The second question is about the GrabX product day where we talked about harnessing AI to improve user and partner centric services going forward. We called it AI with Heart for those of you that missed it. So a lot of the products that we launched did have affordability in mind. So it very much relates to your first part of your question. So we are positioning ourselves to continue to grow through any kind of a weakness in the macros. For merchants, for example, we've used the merchant assistant to add something like 70,000 menu items without human intervention. So that's merchants scanning and generating descriptions now. So, 2.8 million different items if you go across all merchants. And then we’re using Ride Guide to help the driver earnings to improve. So we've got now already a quarter of a million drivers using this feature on a weekly basis. And we have seen from those drivers, higher income, higher productivity. So it keeps the marketplace healthy, even under different difficult conditions. I noticed that you asked about margin weakness from this push for affordability. We don't actually anticipate a margin loss from these new products, and we're not seeing it so far. And let me explain why. Because something like Shared Saver, for example, which is a lower cost for consumer and therefore drives good volume improvements, is actually amortizing the same delivery cost across multiple customers by inviting multiple people to join the same order. So it's actually no extra cost to Grab or to the marketplace. And even GrabFood for One, which has a lower cost per meal, is actually benefiting the merchants from allowing them to batch up a lot of meal production into the same cooking batch. And as some of you know, I used to be in the food industry, so I know that this is much more cost effective and more productive for merchants to cook in large batches and then we generate the demand for those special offer meals at that particular window and they're able to package up the large batch into multiple meals and sell them all together. So, in that case, we're amortizing the merchant's cost into a very productive production batch for them and there's no additional cost to grab also. So you can see that that kind of approach is just making the marketplace more efficient, but it should not put pressure on our margins. The key point for us is that we want to drive the penetration of our annual transacting unit users up further, so our MTUs, our monthly transacting users, increases. And then within that, we want to continue to drive up our daily transacting users as well, so these kinds of affordable products and viral products that we announced at the GrabX will help us do both of those. On margin, we're going to continue to focus on balancing this with the growth, but the key focus for us obviously is driving absolute profit growth and it's just worth just remembering that we we're now in our 13th quarter of improving EBITDA in a row, so you can see that that's very much a focus for us.
Operator: Your next question comes from the line of Alicia Yap at Citigroup.
Alicia Yap: Congrats on the solid quarters. Two questions here. First, I think on your guidance, especially on the higher EBITDA guidance, can management elaborate the reasons for your confidence on the profitability improvement? Are you seeing decent cost optimizations coming from your AI technology enhancement? Even though if in the case of the second half, if the top line actually face a macro headwinds. And then second question is that I understand you mentioned you have not seen any demands slow down with the tariff concerns and all that. But in the coming months, just in case, if you were to see some softness on the deliveries demands or even mobility demands, what would be your plans? Would you actually let the volume naturally slow down, or would you actually introduce some subsidies or rebates or promotion to actually encourage the demand and also the spending to keep up the volumes and also the engagement?
Peter Oey: Alicia, let me take this question, and maybe Alex also, if you can add some color, especially around on the demand side. If you look at the macro situation, we're definitely watching and monitoring that from the sideline. We can't ignore it, but we're also keeping a close eye on it. But the guidance that we giving out is something that we feel very comfortable at. Let me kind of step back as to why we are giving this level of confidence in our EBITDA guidance. We doing two things right. We’re reiterating our revenue guidance and we're actually increasing our EBITDA guidance. So what happened in Q1? So Q1 is usually our slower season on the back of coming out of our high season from Q4. But what we saw actually in Q1 actually was a couple of really unique things in our business. Demand did not slow down despite the Ramadan and the Lunar New Year. If you look at our on-demand GMV, it grew at 17% on a year-over-year basis. But if you look at what's unique is we had another all-time high when it comes to monthly transacting users. So the MTUs continuing to be at an all-time high. We hit another record revenue quarter for us. What's really for us actually was a very interesting data point was that the number of transactions that occurred on our platform was up 19% on a year-over-year basis, which means that the number of engagement and the number of transaction grew faster than our on-demand GMV business overall. And if you look at April, and Alex mentioned to Pang's earlier question, what are we seeing in April? We're seeing a strong rebound also coming on the back of Ramadan in terms of on-demand GMV growth, and it's coming in line with our expectation. So if you look at all those different components, we're looking at, for the rest of the year, we see demand continuing to be strong, and we're continuing to see, well, from our perspective, from our lens, continuing growth in our on-demand business for the rest of year on a year-over-year basis, but it's also across all their revenue lines, especially on the fintech side of the business. Cost is another component that we're also watching very closely. The cost structure of our business continues to be optimized. You saw what the regional corporate cost number was. It was slightly down on a Q-on-Q. It was down 5% on a year-over-year basis. And we're continuing to make sure that we're optimizing that cost. Yes, there are some components of cost that we're deferring to later given seasonality. And there will be some components of that as the variable cost component goes up with volume, but we are managing our cost base also at the same time. With all those different components, Alicia, what we are seeing is that we’re confident that the EBITDA guidance that we giving out we feel very comfortable and we’re seeing confidence in making sure we can execute that for the rest of this year. Alex, maybe you want to add a little bit around the on-demand side of the business.
Alex Hungate: I think as Peter said that this quarter should have been a seasonally weak quarter, but we were able to continue to grow deliveries and to use sequentially. A lot of that was because of the way we operationalized Mart during the Ramadan fasting period to replace dining out with providing groceries and food for people at home. The productivity gains from AI came through already in the quarter in the way that we manage the direct marketing costs during those campaigns. And that's a capability which I think will serve us well if there is the kind of downturn that you're asking about. I think the way in which we can fine-tune our promotions and our incentives using AI is demonstrably better than it was even six months ago. So we can get benefits from that as well. Cross-sell continues to be a big focus for us, and you can see that, in particular the financial services business has benefited from excellent cross-sell with the majority of the new to financial services customers coming from Grab's platform, but also the cross-sell that we're getting between the verticals like food to mobility and food to mart continue to perform well. And all of these are increasingly powered by auto-adaptive AI campaigns. The focus that you heard about at GrabX is on tech and product innovation. Therefore, we're less and less reliant upon promotions and incentives. In particular, what I really like about the new products coming out now is they have a viral component. So things like family orders. We've got family units who are bringing in other family members into the platform and booking rides on behalf of other family members. This is all part of the kind of viral component that helps the platform to grow itself. So you'll see our strategy increasingly focused on that as well. I think Peter covered the some of the ways in which we're thinking about demand. It’s worth just highlighting one more time that our MTU number is only still only 6% of the total population of Southeast Asia. So, as a management team, we’re very focused on the other 94%. We think there’s a lot of opportunity. And particularly, with these new affordable products, we intend to keep expanding the perimeter of our ecosystem as our main focus. Having seen us deliver 13 quarters of improving EBITDA in a row, hopefully, you feel confident that we'll get the balance right between that focus on growth and yet also continuing to improve the bottom line as well.
Operator: Our next question comes from the line of Venugopal Garre at Bernstein Society General Group.
Venugopal Garre: Congratulations on a good quarter. Two questions from me. Firstly, as far as the delivery industry is concerned, we are seeing further consolidation, such as foodpanda, for example, shutting down their Thailand business, even though it was relatively smaller, and Deliveroo looking to sell their business to DoorDash. So, how do we see industry consolidation shaping up in this segment in ASEAN? Is there room for more or is it done? And I'm asking this because you already have a fairly strong category position. That's the first question. The second question is more centered around, if you could share a bit on how your Indonesia business has performed compared to your closest competitor who also ended up reporting yesterday. Given that there's a lot of questions centered on macro, I want to just get a perspective on your thoughts around capital allocation in light of not today's macro risk, but potential macro risk that might emerge when tariffs reappear. So essentially, do we still have an appetite for further inorganic M&A, namely GoTo, as we have seen in the recent quarters in terms of news flow?
Peter Oey: Let me take the first one around consolidation. Maybe, Alex, if I can ask you to take the Indonesian specific question there and what you're seeing. Maybe you can share a little bit more color there. Venu, I think when it comes to consolidation, it's hard to predict. I can't comment really in terms of how the delivery market will shape up in the future. We've been focusing a lot in continue to grow our delivery segment of our business. It grew at 17% on a year-over-year basis. We feel it's under-penetrated, so there's still ways to go in growing that business. So we're heads down executing that, and Alex spoke about some of the products that we've been sharing, and also through our GrabX also, that you're seeing to continue to bolster that growth in the business. We also want to drive more engagement also at the same time with our set of deliveries products. So we're going to continue to make sure that we increase the number of users on our platform on deliveries. Organic has been working nicely for us, and we're going to continue to execute that business. Competitors come in, competitors go, as you've said also. But we're continuing to make sure that in this environment that we're in, we have to continue to make sure our products are affordable, which is really important for our users. And the selection also continues to widen, which is where we've been focusing around, for an example, around areas of bolstering our mart products, as well as continuing to bring traffic to our merchants in-store at the same time. So that's how we see the market landscape, whether you'll see some more consolidation, who knows, but we're going to continue to grow our market share.
Alex Hungate: Let me pick up on Indonesia, a key market for us, obviously. We can confirm that similar to the last quarter, the fourth quarter, in the first quarter, we did outgrow our closest competitor once again. So I think our product-led approach is helping, particularly to offset in what should have been a weaker seasonal quarter. We continued, in spite of Ramadan, to grow deliveries MTUs in Indonesia. We grew sequentially, and particularly, as I mentioned earlier, on the back of a strong performance from GrabMart, where people can do instant shopping on Grab. I have a great example of what I was talking about earlier in terms of fine-tuning costs at the same time, because our direct marketing costs within Indonesia in the same period declined actually 12% quarter-on-quarter. So that helps contribute to adjusted EBITDA as a percentage of GMV improving quarter-on-quarter despite the fact that we outperformed on category position. So I think our Indonesian business is performing very, very well and we continue to stay very focused on making sure that continues. We'll continue to look opportunistically to see if there are opportunities for value add and synergies into our existing businesses. Peter talked about the high bar that we have, but it's worth pointing out that we have made a number of bolt-on acquisitions that where we thought there was really good opportunities to have immediate impact on our either capabilities or to extend our ecosystem further. So just to summarize, we purchased Chope, the reservation application which we have now reproduced as native inside the Grab app. So that is helping the customers in their workflow as they identify where they want to dine out, which is a new capability that we're growing on the platform. They can now also take the next logical step, which is to make a reservation. We also purchased Everrise, which is a retailer in East Malaysia, which extends the Jaya footprint into now a nationwide leading grocer, which is helping to strengthen the frequency and the reach of our offerings of the ecosystem in East Malaysia. And then finally, GXS Bank, our banking subsidiary here in Singapore, purchased Validus, which is supply invoice financing capability, which would have probably taken us a while to build on our own, but is a logical extension to support the small businesses that operate on our platform and to extend credit to them in a risk-managed way because it's based on the payment credit of much larger companies that can operate in the ecosystem. So those are all great examples of how we are seeing in this environment that there are indeed undervalued acquisition opportunities that we can bolt onto the platform that can help us to generate value right away and accelerate our time to market.
Operator: Our next question comes from the line of Piyush Choudhary at HSBC.
Piyush Choudhary: Congrats for a strong first quarter results and raising the guidance. On the user base, thanks for sharing that chart on DTU and MTU trends. Your DTU is around 16% of MTU as of first quarter. With new product initiatives, you expect DTU to rise, which is logical. But I wanted to check if there is any two, three-year kind of target where you would like DTU penetration or MTU to reach and which segment between mobility and delivery do you expect penetration to rise at a faster clip? Second question was on order frequency. Can you share what's the monthly order frequency in both delivery and mobility segments, and how has it changed over the last one year and your outlook for the same?
Alex Hungate: Let me take your question about DTUs. You're right. We also believe that DTUs can grow and catch up the MTU space. So we are very focused on frequency and retention. We haven't disclosed targets externally for those things, but the fact that we're highlighting them on the presentation is an indication to you that it's something that we are focused on and that we're confident that we can make a real difference. A lot of the GrabX initiatives, whether they were viral or affordability-based, are designed to drive up the frequency use case, particularly on a daily basis. So basically, highlighting that here to you today is a way of us saying as a management team that we're confident that we can show you some progress. Today, the DTU to MTU penetration is about 16% of MTUs, so lots of room to grow up in that space. But we also think that the MTU penetration of ATUs can continue and indeed our ATU as a percentage of total Southeast Asia population also has headroom. So I think the investment thesis is still very intact that there's lots of upside growth for us in terms of frequency and overall penetration as well. In terms of order frequency, I can tell you that both deliveries and mobility have been improving year-on-year. So, for deliveries, we had a new quarterly record despite the seasonal softness. So, usually, Q1 is weaker than the other quarters. In this particular quarter, we had both Chinese New Year and Ramadan entirely in the first quarter. So, it should have been a particularly challenging, seasonally weak quarter. But as Peter indicated earlier, because of the various new product launches, we have managed to manage to get through that seasonally weak situation pretty well. And for mobility, we did share that frequency grew 5% year-on-year, even though the MTU growth continued during that same period. So we're confident that we can keep this push on frequency and retention going, and we'll share future updates and future data with you as we go forward.
Operator: Our next question comes from the line of Wei Fang at Mizuho Securities.
Wei Fang: First one on competition. It's kind of a follow-up to the previous questions, right? Do you see markets getting a little bit more competitive, given both the development of the US tariff and also some of the global M&A initiatives? And how do you plan to navigate on that? It would be great if you can comment on both the delivery and mobility separately. And secondly, can you help also talk about your thoughts about why not integrating your mobility rewards to your Grab Unlimited package yet?
Alex Hungate: I guess the recent departure of one global competitor from the Thai market is, let's see, it's the fourth departure of a competitor from a country over the last 18 months. And so, I think it does signal continued consolidation of the market. In this kind of a platform business, there are natural returns to scale. The density that you have allows you to continue to drive reliability and price performance at the same time, which over time means that consumers and partners will prefer the platform. So we are starting to see this. Smaller players do still exist. Those with weaker balance sheets may struggle to raise money in this kind of a macroenvironment. To answer your question about the environment and how that might impact competitive behaviors, I imagine that shareholders will be less inclined to subsidize promotion-driven campaigns and will be looking for more sustainable returns. We continue to hold the category leadership position across mobility and deliveries. You asked us to talk about that situation separately, but to be honest, we don't think about it separately. We do like to think of our relationship with both our customers and our partners, driver partners as being multi-vertical, where we can really help them to optimize their relationship with them. And that's why Grab Unlimited is being expanded to include mobility benefits. And also, we have launched a VIP service, which reflects the relationship, the very special relationship we have with our most loyal, highest spending customers across both mobility and deliveries. And increasingly, we will expand that type of multivertical thinking about the relationship to financial services as well. And now that we have the banks in three markets and, of course, a very vibrant and fast-growing Grab fintech business across all markets. So we fully agree with you that mobility is a key part of the Grab Unlimited relationship going forward. I would think that in terms of the competitors that we see, there are quite often smaller local competitors in each market. Plus, there a number of smaller multi competitors. Most of those are single vertical. Therefore, they don't have the many levers that we have to grow the relationship with our customers and partners. And in the market where we do have a multi-vertical competitor, as I mentioned earlier, we are growing our CP share for the second quarter in a row at the same time as expanding our margins. So I feel like we respect our competitors, but we feel like the formula that we have where we continue to invest in multi-vertical relationships, we are continuing to improve the technology and the reliability and pricing of our network, we feel that we can concentrate on improving those services and growing through the relationship with our consumers and partners rather than getting too distracted by competitors.
Operator: Our next question comes from the line of Divya Gangahar of Morgan Stanley.
Divya Gangahar: My first question is on the margin drivers for this quarter. Could you elaborate the drivers for the deliveries margin improvement besides advertising. Specifically on GrabMart, how big is this now and how are the unit economics versus the deliveries business? Also on the margin question, just on mobility, we did see a year-on-year drop in margins. Could you just help us understand the reasons for that? My second question is on the fintech business. The loan book growth was going only about 5% to 6% quarter-on-quarter, and you've also noted higher credit provisions as the loan book is scaling. Could you comment on what the NPL currently is, and what are the indicators that are being tracked to monitor credit quality? Are you also being a bit more conservative on loan disbursals going forward? And given that you've had some traction now in Singapore, what kind of target markets are you attracting for these loans?
Peter Oey: Let me take the margin ones and, Alex, maybe you can take the fintech and the loan book since you're so close to it, also you've been seeing that portfolio growing. On the margin side, I think your first question was around deliveries. Look, there's a lot of product mix that goes on in the first quarter. And you had a question also, how big is Mart? As a business of ours, Mart is roughly still less than 10% of our deliveries to GMV. But having said that, it's growing much faster also than our other product portfolio within deliveries. The margin in food continues to be very healthy for us as a business overall. Mart also was a star performer in the first quarter for us that we spoke about earlier. So there's a lot of product mix that you saw coming in into the quarter in terms of margin. You saw also incentives were relatively flat on the year-over-year basis for us, and that also helped some of the margin growth in our business. And our advertising also was 1.7% penetration rate, that also contributed to some of the margin improvement that you saw in the business. So, again, very much [indiscernible] moving pieces, Divya. Product mix is part of that, which is really important, and you'll see the fluctuations on those product mix from quarter on quarter, depending also on the seasonality of the business itself. Mobility margin was lower on a year-over-year basis, and that was for us intentional to some degree because there was a critical part that we wanted to really make sure we build up, which is on the driver's side. If you look at where the level of incentives was higher for us, deliveries was flat. In terms of incentive, it was around mobility. And what we saw in Q1 was that the number of rides was just outpacing the number of growth that we saw in the GMV. So we were seeing a 25% rides increase on a year-over-year basis versus a GMV of a 17% growth on a year-over-year basis, and we saw MTU also growing at over 20% on a year-over-year basis. So we wanted to make sure that we have enough supply of drivers out there to make sure that reliability continues to be high and also affordability for our customers also continues to be maintained at the same time. That's why you saw some of the degradation in terms of margin expansion for us in the mobility space.
Alex Hungate: I would just comment that advertising was a big driver, as you said, Divya. It's particularly gratifying that in what is normally a week quarter for advertising, we managed to increase our penetration of GMV for ads from 1.3% to 1.7%. And a lot of that, which I'm delighted to talk to you about, is that small merchants that usually don't have access to these kinds of sophisticated tools are really flocking to the self-serve capabilities. So in the quarter, we had a growth of 49% year-on-year of the self-serve adoption of the advertising platform. And the average spend by those active advertisers on the self-serve platform increased by 30%. So that shows that those tools are really working. They're getting the return on advertising sales which is helping them grow their businesses which in turn makes the marketplace even more healthy. Then the other the other driver for improved margins was the direct marketing performance. As I mentioned, I gave you the example for Indonesia, but it's true across all the countries that our direct marketing accuracy and performance is improving because of the use of AI in how we do the targeting. Quickly on to the fintech. This last quarter, Q1 was the first quarter in which we had loan products from all three banks in the marketplace. So they've just started to grow those loan books. We are not seeing any deterioration yet in the loan quality. So NPL's stable quarter-on-quarter. However, as we grow the volume of loans, we do want to make sure the balance sheet is reinforced. So we are running expected credit losses through the P&L in order to strengthen the balance sheet. And so, that's why you see a small increase in the overall loss for the financial services segment because it's driven by that big buildup in ECL on the balance sheet, growing in tandem with the loan book, which is about 56% year-on-year. So you can see why that would be a large number. So we'll maintain that prudent stance. Obviously, it's a great time for us to drive growth now that we have the product in the market. But we are aware that the credit models need to develop and mature. So we're running those now and we'll keep monitoring that. But for the time being, we're very happy with the performance, we're on track with the plans, and we do not see a deterioration in the non-performing loans.
Operator: Our next question comes from the line of Mark Mahaney at Evercore.
Mark Mahaney: I just wanted to ask kind of a separate line of questioning. It has to do with these AV partnerships. I think there's something like MOUs with four autonomous vehicle companies that you've signed. So I know it will be very early days, but just talk about the anticipated benefits of these. When might we see pilot deployments and anything at all you could share about the economics?
Alex Hungate: Yes, I think we are very excited also about the potential for AVs. That's why we wanted to lean into this space and take a very early stance working with partners. You can see a lot of people keen to work with us. I think our leading position in the region obviously makes us an attractive partner, but also the fact that we're leaning into AI at the same time. So I think we're hopefully a knowledgeable partner for them to work with also. Our intention is to really be at the forefront of the exploratory use of this new technology. I won't give you a timeline for pilots because we obviously are in discussion with various governments to get that going. But our intention is to be at the absolute forefront because we want to understand what it's going to take to make this successful. Obviously, fleet operations is something we're very familiar with because of the way we manage our own fleets today. But what will fleet operations look like for the for AVs, for example. We're also at the forefront of insurance. We have our own general insurance license. We've been distributing insurance in every market for some years now, and that's a very successful, profitable, and growing business. But that helps us to become a good partner for these companies also in understanding what the insurance capabilities would be necessary to make them successful also. So I would say, as you said, early days, but you can think of Grab as one of the companies globally that really leaning into this space.
Operator: Our next question comes from the line of Jiong Shao at Barclay.
Jiong Shao: A lot of questions have been asked. I do have two follow-ups, please. The first is back to fintech. So I understand your model is slightly different from two of your peers in the region in fintech. But one of your peers is making a lot of money and the other is making a little bit of money. So could you perhaps elaborate a bit, sort of tell us the difference in the models you are using adopting in fintech that created sort of the near-term losses in your fintech? So that would be helpful. And related to fintech, also is that I believe you have talked about the revenue growth reacceleration in the second half and could you please sort of reiterate and remind us what are some of the key drivers behind that [indiscernible]? My second question is back to the food delivery business. I think you talked about in your prepared remarks about food/restaurant discovery. If you can share with us some of your early thoughts around a monetization of this kind of in-store for food restaurant discovery business, as some of your global peers seem to be making quite a bit of money in that particular segment. And then, on the margins for food, I know you have 4 plus percent target, given you have had a lot of success in bringing that to 2% now. Could you remind us if that 4% is sort of two, three-year target, the trajectory, that's really, really a longer term target.
Alex Hungate: Let me take the first two and I’ll let Peter take the last one on margin expectations. So you right. Our fintech model is different than the two peers that I think you referring to. The fact is that we have focused initially on supporting partners on the platform, partners that we know very well, where we have both a credit underwriting advantage, but also a collections advantage because of the fact that we're providing them. And therefore, we can pre-deduct the debt repayment from them. And that's one of the reasons why you see our NPLs are very stable and we've been able to manage them very accurately. We want to extend that philosophy as we think about how to lend to consumers as well. So our credit models are most accurate where we know the most about the consumer also. So the same philosophy applies. But that means that we have spent some time developing and deepening the credit modeling for consumers to extend the lending to the consumer market. You can see us starting to do that as we grow our lending, particularly through the banks, because the banks have access to even deeper data and obviously have a lower cost of funds advantage as well. So in 2025, an increasing proportion of the lending will be to consumers, but we'll continue to deepen and enhance the relationship we have with lending to partners. I would say our penetration of drivers is the highest. We're still improving the models there and working out ways to facilitate smaller quanta and different tenures to more drivers. But I think that is starting to plateau. And therefore, that will grow only at the rate at which the number of drivers and the GMV they support comes on to the marketplace. In terms of merchants, we are much less penetrated. And as we develop more and more capabilities for merchants like enhancing our payments enhancing our dine discovery which is the second part of your question that allows us to see more of their GMV and allows us therefore to extend our credit models and extend more lending to them. And then, as I mentioned, the consumer models are the ones which we’re very focused on developing now. We’re very conscious of the macroenvironment for that one. So we'll do it in a prudent way, but there will be an increase in the proportion of lending to consumers during the year. In terms of profitability, our fintech business is already profitable, like the peers that you mentioned. The increase in the losses is due to the fact that the banks are basically all launching at the same time, particularly Malaysia and Indonesia, which have only just kind of launched their lending products last quarter. So I think that's to be expected. It's in line with our plan. So the investment in starting a new bank is there, and it's something we've been flagging over the last several years. But we are retaining our guidance that the banks overall, so all three of the banks collectively, will be profitable by the fourth quarter of 2026. So it's very much in line with our investment plans for getting those banks up and running. Moving on to your second question. Dine-out discovery allows us to tap into a much larger TAM than food delivery. So, although we're the CP leader on food delivery, we all know that most restaurants will make the majority of the GMV from having people dine in at their stores. We want to be a part of making them successful and attracting people into the stores, and they recognize that our relationship with consumers on an increasingly frequent and loyal basis is a very great asset for them to do that. And so, we've been extending the capabilities that we have to enhance dine-out discovery, in line with that marketing, trust marketing relationship that we have with the consumer. We have a lot of data on consumer reviews, for example, for delivery, but we can easily expand that to the adjacent space of consumer reviews for dining out. The merchants are keen on working with us in terms of creating deals to encourage consumers to eat with them. As they do that, we uniquely can close the loop on those campaigns they put out there with the first party data we have, linking back to loyalty plans or payment that allows them to establish that those consumers come in as they redeem those discounts. So it's a fully transparent closed loop advertising performance for dine out in exactly the same way as we delivered that for delivery in the past. So the merchants understand very well what the proposition is and they seem to like it. So it fits beautifully with what we do already on payments and so we'll be enhancing the payment capabilities we have for merchants and enhancing the loyalty capabilities as well, all of which help us close that loop. The monetization opportunity, therefore, is primarily driven by an increase in the TAM against which we can generate advertising dollars and that's a very clear partnership model that merchants are used to and that we will push. We're at the very early stages of this. So in many ways, this ramp up stage is an investment stage. But we'll begin to monetize in future years rather than 2025.
Peter Oey: Jiong, on your question on the margin for food, you alluded the 4% plus time frame, et cetera, look, we’re not really tied to any specific timeline to get to the 4%. The good news is that, in certain countries, we’re already seeing 4% plus. So we know how to get there. What we are managing the business for our food is for absolute dollar expansion, EBITDA expansion versus a certain margin percentage because we see the opportunities in growing the food business even more. We talked a lot about daily transacting users to monthly transacting users today, and that's just another catalyst for us that we've got to do more in the food section for us to actually grow into the TAM that we still have a lot ways in terms of penetrating in all the countries that we're in here today, especially around also what Alex talked about when it comes to dine-out capabilities also as well as complementing that with mart. So, that's how we view our margin for our food business. We're up against the hour here, so I want to thank all the all the calls here. Look, I know we had some technical difficulties earlier on, so I don't know how much of Anthony’s opening remarks was captured. Maybe if I can just sum it up here in the next 60 seconds and I’ll close the call here. It was a great set of results for Q1. And this is despite of the seasonal headwinds. And now as we're entering in the second quarter, what we are seeing is the continuing sequential growth across all our businesses today. And we expect to maintain this momentum of growth from 2024 into 2025. EBITDA guidance upgrade, also it's a reflection of our confidence in achieving this strong performance, even after 13 consecutive quarters of EBITDA improvement. There's a lot of questions today around macro and slowing down on demand, etc. I hope we've addressed those questions. Our business, we've built this business to be counter-cyclical, and we are well positioned to weather any downturn or any slowdowns of economies and the investments that we're making around the product set, which some of you got to see also in GrabX a few weeks ago, is an example of where we're going to continue to double down. We've got more products that we need to build here across the food as well as mart and mobility and the fintech side, especially on our loan book, and also making our products more affordable which is really important, especially if we are going to see some economic implications down the line here. But we're very confident in what we're seeing so far, and we're executing also right on strategy. So in closing, I want to thank all the partners and the merchant drivers that we continue to support, and they're supporting us. So thank you very much and also to all our customers who continue to use our product day in and day out. We are continuing to see engagement, which is great to see. And also we continue to see the lifetime value of customers going up. And also thank you for all our shareholders for your support on our business. So the IR team and myself will be on the road again over the next few weeks. I'll be on the East Coast in Boston and New York. Alex will be in Hong Kong in a couple of weeks' time. So we'd love to get together with you all. I'm sure you have more questions that we can dialogue on. But thank you for coming at the hour. And with this, I'll close the call. Until next quarter, thanks, everyone.
Operator: Thank you, ladies and gentlemen. This concludes Grab’s first quarter 2025 earnings conference call. Thank you for your participation. You may now disconnect.